Operator: Welcome to the Chesapeake Utilities Corporation Second Quarter 2024 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Lucia Dempsey, Head of Investor Relations. Please go ahead.
Lucia Dempsey: Thank you, and good morning, everyone. This is Lucia Dempsey, Chesapeake, Head of Investor Relations and I appreciate you joining us this morning. Today's presentation can be accessed on our website under the Investors page and events and presentations subsection. After our prepared remarks, we will open up the call for questions. On slide two, we show our typical disclaimers while I remind you that matters discussed on this conference call may include forward-looking statements that involve risks and uncertainties. Forward-looking statements and projections could differ materially from our actual results. The safe harbor for forward-looking statements section of our 2023 annual Report on form 10-K provides further information on the facts that could cause such statements to differ from our actual results. Additionally, the company evaluates its performance based on certain non-GAAP measures, including adjusted gross margin, adjusted net income and adjusted earnings per share, and the information presented today includes the appropriate disclosures in accordance with the SEC's Regulation G. A reconciliation of these non-GAAP measures to the related GAAP measures has been provided in the appendix of this presentation, our earnings release and our second quarter Form 10-Q. Here at Chesapeake Utilities, safety is our first priority. We start all meetings with a safety moment and will do so here with a safety moment on emergency preparedness as we are already in the midst of hurricane season. Our subsidiary, Florida Public Utilities, recently completed its annual hurricane preparation drill, during which our team practiced our emergency response procedures. Lessons learned in this drill have already been put to the test during Hurricane Debby earlier this week. Our customers have experienced minimal disruptions in service and we are grateful to team members across the organization who responded efficiently to keep us operating safely. SPU overall continues to show improved reliability metrics, which can be attributed to the system strengthening work the team has done as part of the storm protection plan. This work has improved the frequency and duration of electric outages by 11.3% and 9.7%, respectively, when compared with June 2023. On an individual level, whether you live in an area impacted by hurricanes or not, being prepared for emergencies is critical. In fact, putting together a disaster supplies kit is one of the safety challenges for Chesapeake team members this quarter. FEMA recommends a personal emergency kit with food, water and supplies to last for at least 72 hours. Ready.gov has helpful guides and checklists that you can use to prepare for yourself and your loved ones. I'll now introduce our presenters today. Jeff Householder, Chair of the Board, President and Chief Executive Officer, will provide an update on our high growth service areas, capital investment plan and business transformation efforts, including the Florida City gas integration. Beth Cooper, Executive Vice President, Chief Financial Officer, Treasurer and Assistant Corporate Secretary will discuss our financial results, strong balance sheet and dividend as well as earnings growth trajectory. And Jim Moriarty, Executive Vice President, General Counsel, Corporate Secretary and Chief Policy and Risk Officer, will review our regulatory strategy, including key project approvals and recent company awards. With that, it's my pleasure to turn the call over to Jeff.
Jeff Householder: Thank you, Lucia. Good morning and thanks to all of you for joining our call today. I'll begin with slide five. Adjusted earnings per share this quarter was $0.86, bringing our year-to-date 2024 EPS to $2.96. Our results are well aligned with our expectations with strong contributions from our Florida City Gas and legacy operations offset by FCG operating expenses and financing costs. We generated adjusted gross margin of approximately $127 million this quarter, a 27% increase over the second quarter of last year and adjusted net income of approximately $19 million, up 19% from the same period last year. Our year-to-date earnings performance, combined with our growth expectations for the remainder of 2024 enable us to reaffirm our full year 2024 adjusted earnings per share guidance of $5.33 to $5.45. Our progress with integrating FCG, coupled with our increased level of capital projects and regulatory initiatives also enable us to reaffirm our 2025 and 2028 EPS guidance. As I'll discuss in more detail shortly, our 2024 capital growth plan remains on track, with $160 million invested in the first half of this year and $300 million to $360 million expected for full year 2024. Turning to slide six. We operate in some of the fastest growing areas of the country, which enable us to deploy sustainable capital investments to meet the needs of growing customer demand. Customer growth remains strong in both Delmarva and Florida, with each area seeing a 3.7% increase in residential customers in the second quarter of this year relative to the same period last year. We expect strong population growth to continue in our service areas. In spite of increased interest rates, we are regularly executing contracts with builders and developers for gas service to new residential developments. Customers are looking for gas service in their new homes, and we expect to continue to add customers at significantly higher rates and have been typical for our industry. Cecil county is one particular example of substantial growth in our Delmarva service area. In 2018, Chesapeake began constructing natural gas distribution infrastructure in a key commercial quarter in Cecil County, Maryland, which is strategically located between Baltimore and Philadelphia. The initial distribution capacity extending from our Eastern Shore pipeline attracted a number of key businesses and distribution centers to the area, including IKEA, FedEx and Amazon, driving substantial demand for additional natural gas service and infrastructure. Since then, we've purchased the adjoining Elkton gas operation from SJI. They gave us a more local field operation and have installed at least 28 miles of gas distribution along I-95 to serve incremental demand growth, and we used a state energy grant to extend natural gas infrastructure to support the Cecil County library as well. Cecil County is a great example of the growth we're seeing throughout our service areas, as well as the critical role that Chesapeake's natural gas infrastructure investments play in our communities to drive critical economic development and job creation. The opportunity to serve significant customer growth and demand is the basis for our overall growth strategy, which in turn drives sustainable earnings growth. Over the past several years, we have been consistently focused on three fundamental drivers to support earnings growth, as shown on slide seven. First, we work hard to identify and prudently deploy capital investment in projects that align with customer demand and enable us to continue providing safe and reliable energy delivery services to support customer growth. Our capital investment plan is primarily comprised of system expansion investments to serve new customers as well as capital to support our multiple infrastructure programs that contribute to the reliability of our systems and investments in technology that support enhanced operational efficiency and customer service. Second, we proactively manage our regulatory agenda to support cost recovery of our capital projects. As the majority of our capital plan is aimed at serving new and existing customers in our regulated businesses, we're working closely with governmental agencies to secure permitting for our capital construction projects and with federal and state regulators to ensure appropriate cost recovery for these investments, which bring safe, reliable and affordable services to customers for years to come. And Jim will go into more detail on this shortly. The third, and perhaps most important, given our recent overall enterprise growth, is continued business transformation, which focuses on our people, processes, systems and organizational structure. Our continuous improvement initiatives enable us to ensure long term success in an ever-changing environment. Not only do we need to be transforming the organization given our growth, but at the same time considering and planning for where we're headed. Capital deployment is our primary growth driver, and on slide eight you can see that we've already made significant progress toward identifying and initiating $1.3 billion of our five-year capital investment plan of $1.5 billion to $1.8 billion. This includes capital for a number of ongoing infrastructure initiatives and approved projects across our regulated businesses, as well as approximately $80 million in identified technology investments thus far. While we are fundamentally a regulated utility company, we look for opportunities to leverage our related businesses in ways that might not be possible for others. Our growth plan over the next several years includes multiple examples of our business units working together to meet the needs of customers. Our transmission businesses will continue to expand so our distribution companies can meet increased customer supply needs. Our propane unit will grow and hold customers until our natural gas systems reach new areas. Marlin Gas Services will increase the transport of CNG, RNG or LNG to provide market area supply to our systems, helping to meet both baseload and peaking customer needs. I would also note that all of the $1.3 billion of specifically identified projects on slide eight are related to our regulated businesses. As we make additional progress achieving our five-year capital guidance, we will identify additional regulated and non-regulated investments. Slide nine shows our progress toward our 2024 capital expenditure guidance of $300 million to $360 million, with approximately 48% or $160 million, invested in the first half of this year. Our team is focused on efficiently deploying the remaining capital in 2024 on growth opportunities and business transformation initiatives across the company, including advancing multiple growth projects that provide the basis for our FCG acquisition. Slide 10 provides additional detail on the major projects that are driving nearly $300 million of capital investment and over $36 million of additional adjusted gross margin in 2024 and 2025 combined. This table now includes projects within both our Delmarva and Florida footprints. This last quarter, we've added seven new projects representing nearly $11 million of incremental adjusted gross margin in 2025. The first three new projects are St. Cloud, Lake Mattie and Plant City, which received PSC approval in May of this year. These Florida natural gas expansion projects represent $42 million in capital expenditures and will support the significant population growth in these Central Florida communities, including the second St. Cloud expansion in less than a year. The next three new projects provide renewable natural gas, or RNG, transportation infrastructure in Florida's Indian River, Brevard and Miami Dade counties, representing a combined $46 million of capital. These projects were approved by the Florida PSC last month and will benefit our customers by bringing RNG produced from local landfills into our system, while also reinforcing system reliability and sustainability. The latest addition is the Warwick extension, a transmission expansion project with an estimated capital cost of $9 million. This project will reinforce supply in the growing Middletown, Delaware area and enhanced capacity in the southern portion of Cecil County, Maryland to meet customer demand and support future growth. The margin of these major projects reinforces our existing 2024 and 2025 EPS guidance ranges, and I'm pleased with our team's continued execution on project development, including completing the necessary regulatory filings, obtaining regulatory approvals, and constructing projects on time and on budget. Turning to slide 11, our third fundamental growth driver is focused on continued business transformation. The FCG integration is critical here, and we remain on track with bringing the remaining transitional services in-house, optimizing operations, identifying and realizing synergies, and most importantly, accelerating capital investment opportunities to serve customers. We continue to implement ways to operate seamlessly as one company, and our efforts to leverage our greater footprint, optimize efficiencies and invest in growth are benefiting the whole enterprise. We also are continuing our journey to transform our customer care and field services functions to achieve world-class performance. Our goal is to streamline processes and drive efficiencies within many functional areas, including customer service, billing and invoicing, and operational field services, in an effort to provide a better overall experience for our customers. Later this month, we will go live with our SAP system implementation. The technology system is a major step to support the operational transformation we've been working toward for the last few years. We've had a number of internal cross functional teams highly engaged with SAP, IBM and others to ensure a successful launch. We'll also continue to implement technology upgrades across the enterprise, including transitioning FCG onto the SAP system next spring. And with that, I'll turn to Beth to discuss our financial results in more detail.
Beth Cooper: Thanks Jeff, and good morning, everyone. It is great to be with you today. Our financial results, as shown on slide 12, demonstrate another successful quarter with adjusted gross margin of approximately $127 million, up 27% from the second quarter of last year, driven by the addition of Florida City Gas as well as solid performance across all of our businesses. Operating income for the quarter increased 44% to approximately $41 million, reflecting effective cost management initiatives that added to the strong adjusted gross margin growth. Excluding transaction and transition related expenses, operating income was up approximately $14 million, or 49%, when compared with the second quarter of last year. As a result of our continued business integration, optimization and collaboration efforts, we drove much of this operating income to the bottom line, with adjusted net income up 19% to approximately $19 million for the quarter and up 26% to approximately $66 million for the first half of 2024 compared with the same periods in 2023. I'll now turn to slide 13 and highlight some of the key drivers of our second quarter adjusted earnings per share of $0.86. Our Florida City Gas operations contributed $0.77 in adjusted EPS, reflecting strong customer growth and seasonally consistent natural gas demand. Our legacy natural gas growth, infrastructure and transmission operations generated $0.13 of incremental EPS this quarter as we continue to see consistently strong customer demand for natural gas and incremental earnings from our capital investments placed into service in the last year. These gains were offset by a few factors, including $0.33 of operating expenses related to Florida City Gas, $0.11 of increased expenses related to payroll and related costs, insurance, depreciation and amortization, and property taxes, and approximately $0.50 related to financing the Florida City Gas acquisition. Moving to slide 14. Adjusted gross margin for our Regulated Energy segment was approximately $103 million this quarter, up 34% from the second quarter of last year. Operating income also significantly improved, up 38% to $41 million, excluding non-recurring transaction and transition costs. This improvement was primarily driven by strong earnings contribution from Florida City Gas, organic growth in our natural gas distribution operations, and incremental margins from our transmission service expansions and regulated infrastructure programs. As shown on slide 15, our Unregulated Energy segment also delivered solid improvements relative to the second quarter of last year, with adjusted gross margin up 3% to $23 million and operating income improving to $238,000 for the second quarter of 2024. As we've discussed in the past, volumes for these businesses are typically lower in the second quarter due to warmer temperatures. I'll now shift to slide 16 to review our capital structure and financing plan. Maintaining a strong balance sheet, adequate liquidity, and access to competitively priced capital is critical to support our fundamental growth driver of prudent capital deployment. To this end, we continue to execute on a financing plan consistent with an investment grade credit profile. We ended the second quarter of 2024 with an equity to total capitalization ratio of 48%, up from 47% at the end of the year 2023. We continue to target an equity to total capitalization ratio of 50% and will issue small amounts of equity over time through our existing direct stock purchase and dividend reinvestment, retirement savings and other standard equity programs, and we'll look to reestablish an ATM program at the appropriate time to move closer toward that target. We also took several steps in July and August of this year to support our growth investment plan and manage our overall debt costs. First, we amended our revolving credit facility, upsizing it by $75 million to a total of $450 million and extending the maturity by several years. Second, we have entered into an interest rate swap on $50 million for five years at a rate of 3.97%. Our liquidity also remains strong with 70% or nearly $500 million of liquidity available under our revolving credit facility and private placement shelf facility. We will continue to evaluate and advance our equity to total capital ratio towards our target capital structure to ensure we remain well-positioned to execute on our growth strategy over the next several years. Slide 17 shows our strong history of consistent dividend growth. Our 10-year dividend CAGR through 2024 is approximately 9%. Last quarter, we announced a significant dividend increase of $0.05 per share representing 8.5% year-over-year growth. Yesterday, our Board approved the second quarter dividend of $0.64 per share payable on October 7, 2024 to shareholders of record as of September 16, 2024. Our dividend is a key component of our balanced capital allocation strategy and our target payout ratio of 45% to 50% is designed to return value to shareholders while also allowing for earnings reinvestment to fund future growth capital investments. We believe this strategy enables our investors to benefit from long-term top quartile earnings growth, which in turn facilitates top quartile dividend growth. Speaking of earnings growth, slide 18 demonstrates our consistent earnings per share performance with our 2028 EPS guidance range, reflecting a 10-year EPS CAGR of approximately 8.5%. This growth is driven by our tireless pursuit of top quartile earnings performance, led by our fundamental growth pillars of prudent capital investment, proactive regulatory initiatives and continuous operational improvements. Our year-to-date 2024 performance is in line with our expectations and I am proud of our team's hard work thus far in the year. We have a longstanding record of meeting our targets and will continue that trajectory. So, we are reaffirming our 2024 adjusted EPS guidance of $5.33 to $5.45 per share, our 2025 guidance of $6.15 to $6.35 per share, and our 2028 guidance of $7.75 to $8 per share. Before I turn the call to Jim, I'd like to review our path to our 2024 EPS guidance as shown on slide 19. Our confidence in achieving this guidance is driven by several key factors. First, we expect incremental contributions from our legacy businesses to drive approximately $0.40 to $0.50 of incremental earnings per share. Second, a full year of FCG operations net of interest expense related to the acquisition, financing should add roughly $0.35 to $0.45 per share. And third, we anticipate incremental opportunities of approximately $0.20 to $0.30 per share from our business transformation, regulatory and cost management initiatives across the enterprise. These factors are partially offset by dilution of about $1 per share due to the equity issuance completed to finance the Florida City Gas acquisition. The ranges provided here on this slide are consistent with the ranges we communicated last quarter, And I'd like to reiterate our focus on driving shareholder value by delivering on the attractive opportunities throughout our enterprise. With that, it's my pleasure to turn the call over to Jim. Jim?
James Moriarty: Thank you, Beth, and good morning, everyone. As Jeff discussed earlier, a proactive regulatory agenda is our second fundamental growth driver and I would like to share several updates in this area. Starting with slide 20, we now have 11 projects representing over $150 million of capital that have been approved since the fourth quarter of last year, demonstrating strong regulatory support for meeting customer needs through natural gas infrastructure expansions. Last month, the Florida PSC approved three new renewable gas transmission projects in Florida's Indian River, Brevard and Miami-Dade counties. In addition to supporting energy sustainability, these RNG projects increase gas supply and strengthen system reliability and flexibility for these growing communities. Construction also continues on schedule for our other recently approved transmission expansion projects, including buildouts for new and growing Florida communities in Wildlife, Boynton Beach, New Smyrna Beach, Lake Mattie, Plant City and St. Cloud. Slide 21 provides an update on a project designed to support growth and resiliency in the Delmarva region, our Eastern Shore Worcester Resiliency Upgrade, or WRU, which is a liquefied natural gas storage project in Maryland. This $80 million project consists of five low profile storage tanks that can hold up to 500,000 gallons of LNG. WRU will provide critical energy service to customers during the peak winter/heating season and will protect against weather related disruptions, keeping energy prices affordable so that no one is left behind. We are anticipating FERC approval by the end of 2024 and remain on track for construction to begin in the first quarter of 2025 for an in-service date in the third quarter of 2025. Our infrastructure programs detailed on slide 22 are an important part of our service offerings and growth strategy, particularly as they are supported by regulatory mechanisms that ensure timely cost recovery. These programs include the Capital Cost Surcharge program for the Eastern Shore system, the SAFE and GUARD programs for natural gas infrastructure in Florida, and the Storm Protection Plan for our Florida electric operations. In total, these programs represent over $350 million of capital expenditures in the next five years and approximately $12 million and $19 million of adjusted gross margin in 2024 and 2025, respectively. Turning to slide 23. Our rate case strategy is also a key driver of effective cost recovery and return on investment. 2024 is our first full year with increased rates in Florida's natural gas operations, where we operate with allowed ROEs of 10.25% for Florida public utilities and between 8.5% and 10.5% for Florida City Gas. At the start of this year, we filed for a rate increase and updated depreciation study for our combined natural gas entities in Maryland. We are pleased with the progress thus far in the case, which includes an approved depreciation study settlement for $1.2 million in annual depreciation expense savings retroactive to January of 2023. We recently have been participating in productive settlement discussions on the remainder of the case and appreciate the constructive conversations we've had with regulators thus far. We are also moving forward with two additional rate cases. In May, we submitted an intent to file with the Delaware PSC for our Delaware LVCs, and in June we completed a similar filing with the Florida PSC for adjusted rates for FPU Electric. We expect to file both of those rate cases later this month. We also continue to move forward with innovative and sustainable investments, including our Full Circle Dairy RNG facility as shown on slide 24. The facility is now in the commissioning phase and has been producing RNG for the last two months. We successfully completed initial injections of RNG into our system beginning in Yulee, Florida in June using the virtual pipeline capabilities of our Marlin Gas Services subsidiary. Our RNG strategy continues to evolve as the market matures. Looking ahead, we are poised to execute on opportunities that enable us to use our existing transportation services and construction expertise to provide pathways to market for RNG producers. Turning now to slide 25, I would like to cover our sustainability initiatives and recent recognitions. We look forward to publishing our second Micro Sustainability Report during the third quarter, which will focus on our environmental stewardship offers. We are proud to share that two of our subsidiaries received accolades this quarter. Florida City Gas was named easiest to do business with by Escalent, a data analytics and advisory firm. We're proud to have our FCG colleagues as part of our family and we celebrate this achievement. Our propane distribution subsidiary, Sharp Energy received the 2024 award for Best Gas Company by Metropolitan magazine. This recognition reflects the reader's choice for the finest business in the Delmarva region and underscores our longstanding commitment to providing our customers with high quality products and excellent service. In addition, we were honored to be named Best for Corporate Governance in the US by World Finance this quarter. This marks our second time being recognized with this prestigious award and is a credit to our team as well as the strong corporate governance principles and standards embedded throughout our organization. All of these recognitions confirm our significant efforts to deliver excellence and create value for our stakeholders. Making life better for our employees, customers and the communities we serve remains paramount in everything we do. With that, I will turn the call to Jeff for concluding remarks.
Jeff Householder: Thanks, Jim. This year is a critical transition for us as we execute on integrating FCG, achieving our 2024 EPS and capital guidance, advancing the organization forward on multiple fronts to achieve the significant growth embedded in our 2025 EPS guidance, and making significant customer focused capital investments to support our long-term growth plan. I'm very pleased with our progress in these areas, including delivering financial results that remain in line with our full year expectations and represent top quartile earnings performance. Recently, we've been described as small, but mighty by the financial community, and I think that description is accurate. Whether we are executing on and integrating acquisitions, achieving top quartile financial results, or advancing customer focused investments, we're proud of our track record of delivering results and are focused on maintaining that record in the future. Chesapeake continues to be a special place to work and remains a unique investment opportunity marked by a significant track record of superior performance, strong opportunities for growth, and top quartile long-term shareholder returns. With that, we'll take your questions. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Thank you. Our first question will come from Paul Fremont with Ladenburg. Please go ahead.
Paul Fremont: Great, thanks and congratulations on a good quarter. I guess, my first question relates to sort of the RNG investments, including -- maybe starting with the Full Circle Dairy. Is the RNG project itself owned by Chesapeake, or who is that owned by?
Jeff Householder: Good morning. This is Jeff. Yes, we are owning and operating through contract, the Full Circle Dairy facility.
Paul Fremont: Okay. And is that a regulated investment, or does that fall under sort of the non-regulated category?
Jeff Householder: It's a non-regulated investment at this point. We actually own that facility through a subsidiary of one of our regulated utilities in Florida. And we are pursuing, as you may know, a variety of tariff adjustments and potentially at some point some legislative action that would allow us to move that facility into the regulated utility. And so, we'll see. We don't -- obviously, we don't own the dairy farm or the cows, but we just have the digester and the lagoon and the operating facility that's processing the biogas and RNG.
Paul Fremont: So, I would assume that project is going to be eligible for 45Z tax credits. Is that something that you would expect to realize over the course of the next three years?
Jeff Householder: We would. Beth, you want to jump in on that one, yes.
Beth Cooper: That's correct. We would. That's something by us getting it constructed in the timeframe that we did, we would have that tax. Yeah.
Paul Fremont: And is there sort of any estimate on sort of a contribution that you would expect from those tax credits?
Beth Cooper: We can put that out. We've not disclosed that to date. This isn't a huge project overall, but we can come back to you, Paul, with that information.
Paul Fremont: And then the other three that you talked about, which I think are landfill projects in Florida, those are within the regulated utility.
Jeff Householder: Those are -- and again, we don't own the landfill, obviously, and we don't own the gas processing equipment even in these particular examples. What we are doing is providing the pipeline connection between the RNG processor and our distribution facilities. And in this particular case, these particular cases, all that's being done through our Peninsula pipeline transmission business, the intrastate pipe business that we own in Florida, that we are moving that gas from the processor through Peninsula pipeline into our distribution facilities.
Beth Cooper: And so, Paul, what Jeff says, you can think about this not dissimilarly to what we did with the project in Ohio with a fire where we picked up gas at a landfill and we actually moved it through a fire system. That's the same thing Peninsula pipeline is going to do with these projects.
Paul Fremont: Great. And then my last question, I think, has to do with, you're at a 48% equity ratio now. What -- how should we think about the timing to get to your targeted 50%?
Beth Cooper: We are looking to do that over the next year to year and a half to move back there. Certainly, we will look at the market. We've been monitoring that relative to interest rates and where our equity is in regards to kind of the market valuation. So, you could see us move a little quicker, a little slower, but certainly we're making strides. Our initial forecast coming out of the transaction, we didn't expect to be moving, as quickly as we have already being at 48% six months after the transaction. So, you'll consider -- you'll still see us move pretty quickly as long as the market cooperates.
Paul Fremont: Great. Thank you so much.
Beth Cooper: Thank you.
Jeff Householder: Thank you.
Operator: [Operator Instructions] We will take our next question from Tate Sullivan with Maxim Group. Please go ahead.
Tate Sullivan: Hi. Thanks, Jeff. Following up on the renewable natural gas supply projects, I mean, in the adjusted gross margin table for '25, estimating $5.5 million incremental contributions. So, are all three of those projects in Florida City Gas territory, and are these the first RNG projects in those service -- in FCG's service territory?
Jeff Householder: They all are in Florida City Gas service territory. And I believe they are the first renewable natural gas connections that FCG is doing.
Tate Sullivan: And there's no existing processing equipment at the landfills. And is the project timeline for all three, roughly a year or so, based on approval?
Jeff Householder: There are no processing facilities that would convert the biogas into renewable natural gas with a standard that would meet our requirements for pipeline injection. At this point, they're in the process. These are three independent processing companies that are engaged in this, and they are in the process of building those facilities. And they probably do, come on. I can get you the exact dates, but they are, give or take about a year out. We'll probably have some of the pipeline facilities in place a little before then?
Tate Sullivan: And then also all three involve supply pipeline extensions to the landfills themselves, is that correct?
Jeff Householder: That's correct. We're building those, as I mentioned, through our Peninsula pipeline intrastate transmission business in Florida, and they'll interconnect from the processor at the landfill back into the FCG distribution system.
Tate Sullivan: Is this quite a scalable opportunity in Florida? I mean, was the regulator -- regulating body receptive to these projects? I mean, it seems like it could be duplicated across landfills.
Jeff Householder: Yes. I mean, we will certainly look at that. The regulator did approve the three pipeline expansions on PPC serving into our affiliate FCG. And any time we can find that kind of a situation and the economics make sense on the pipeline expansion, then we're certainly up for that. And we have other opportunities, I think, to engage our Marlin CNG business in transporting that gas if it doesn't make economic sense to build a pipeline.
Tate Sullivan: Great. Very impressive. Okay. Thank you very much.
Operator: Thank you. There are no further questions at this time. I'll turn the call back over to Jeff Householder for any closing remarks.
End of Q&A:
Jeff Householder: Thank you. We appreciate you joining us this morning, and we certainly appreciate your continued interest in Chesapeake Utilities. And we'll speak with you soon. Goodbye.
Operator: Thank you. And this concludes Chesapeake Utilities Corporation's second quarter 2024 earnings conference call. Please disconnect your line at this time and have a wonderful day.